Operator: Good morning and thank you for joining Becle's Third Quarter Unaudited Financial Results Call. During this call, you may hear certain forward-looking statements. These statements may relate to our future prospects, developments and business strategies and may be identified by our use of terms and phrases such as anticipate, believe, could, estimate, expect, intend, may, plan, predict, project, will, goals, target, strategy and similar terms and phrases and may include references to assumptions. Forward-looking statements are based on our current expectations and assumptions regarding our business the economy and the future conditions. Because forward-looking statements relate to the future, by their nature, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict. Our actual results may differ materially from those in forward-looking statements. For all the foregoing reasons, you are cautioned against relying on such forward-looking statements. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Now, I will welcome Fernando Suárez, Chief Financial Officer, Fernando, you are now on the line. Fernando Suárez Good morning, everyone and thank you for joining us today to discuss our third quarter 2021 results ended September 30, 2021. I am joined today by Juan Domingo Beckmann, Chief Executive Officer; Michael Keyes, President and CEO of Proximo Spirits; Luis Félix, Managing Director of Mexico and LatAm and incoming CEO of Proximo Spirits; Ricardo Lomelí, Managing Director of Mexico and LatAm; Gordon Dron, Managing Director of EMEA and APAC and Maurício Ferreira, Chief Global Supply Chain Officer. Before we begin, we would like to remind you that the figures discussed in this call were prepared in accordance with International Financial Reporting Standards or IFRS and published on the Mexican Stock Exchange. The information for the third quarter of 2021 is preliminary and is provided with the understanding that once financial statements are available, updated information will be shared in the appropriate electronic formats. At this time, we would like to remind participants that your lines will be in listening mode only and until the question-and-answer session. Now I will pass the call on to Becle CEO, Mr. Juan Domingo Beckmann.
Juan Domingo Beckmann: Good morning and thank you for joining us today as we discussed Becle's third quarter 2021 results. I will start off by making some opening comments and then as usual, I will ask Mike Keyes to discuss the performance of our US and Canada businesses. Luis Félix will go over our Mexico and LATAM results and Gordon Dron will discuss a result from EMEA and APAC regions. Following that, Fernando Suárez will walk you through our financial results. As announced back in July, I would like to take opportunity to thank Mike Keyes for his years of service at Proximo and for helping Luis Félix in an orderly transition by the end of this year. I also welcome back Lemon [ph] to the core team. Although the COVID pandemic continues to weigh on daily life, we are encouraged by the sequential mobility increases seen across our regions. Naturally, the off-premise sales boost we experienced last year have provided tough comps for 2021. These effects coupled with supply chain constraints and foreign exchange headwinds have made a challenging third quarter. However, underlying demand in the US and Canada remains resilient and the region's performance was still considerably above the 2019 baseline. Mexico and rest of the world regions top line had double world, versus the third quarter of 2020. Consolidated volume for the third quarter was down by 2% and net sales decreased by 7.9% compared to the same period of 2020. These equations were mainly due to the industry wide supply chain issues previously mentioned. In the US and Canada, volume was down 18.6% versus Q3 2020, which is due to the supply chain and distribution constraints and a tough comparison base for the region. We remain confident about our underlying demand as depletions start holding up against the very strong 2020 numbers. As consumer's behavior and channel performance normalize at an increasingly faster pace, we saw strong performance across the rest of the world regions, which especially favored tequila. Volume for the quarter was soft in certain regions by 50% and depletion hit record highs. The Mexico region also had a very strong quarter as a result of our initiatives and the gradual normalization of mobility. In Mexico, our volumes were up by 23% and our net sales value were up by 33% as a result of our successful pricing and product mix strategies. The region was experiencing industry wide supply chain issues perhaps been managing by way of prioritizing higher value SKUs. We are confident that the demand for our brands along with the growing international demand of premium spirits will allow us to overcome the short term supply chain challenges and continue delivering value to all of our shareholders. I will now turn the call over to Mike Keyes to give more color on our US and Canada results.
Mike Keyes: Thank you, Juan and good morning, everyone. Like many businesses, our 2020 results have been impacted by supply chain constraints and we've been reviewing our results against both the prior year and against the two-year stack. Versus 2020 consumer takeaway in the off-premise for our brands in the United States as measured by Nielsen value was down 7% for the three month period, which ended September 11, 2021. This compares to an industry contraction of 3% as we lacked exceptional gains in 2020, which resulted from significant changes in consumer behavior due to the global pandemic, particularly during the third quarter of 2020, when our Nielsen takeaway was up 39% relative to the industry growth of 28%. Nielsen consumer takeaway for our brands for the same period over a two-year stack grew by 28% outpacing to total distilled spirits industry, which grew by 24% for the same period. Proximo's wholesaler depletions were down 1% for the quarter lapping 2020 when depletions were up 20% and when compared to the third quarter of 2019, our depletions were up 19% for the quarter. On a 2021 year to date basis our depletions are down 1%. This compares to a growth rate of 28% for the same period a year ago and when we compare to the same period to 2019, our depletions were up 27%. The depletions for our tequila portfolio were down 8% for the quarter. This decline was driven by supply chain availability issues on our biggest brand. Our premium tequila portfolio was up 4% for the quarter. On a year to date basis, our tequila portfolio was up 1% driven by the continued strength in our super premium tequilas, which were up 18%. Our ready to drink Margarita category depletions were down 7% for the quarter, but were up 1% on a year to date basis. The quarter is lapping last year in which depletions for our RTD brands were up an unprecedented 42% and when compared to the third quarter of 2019, our depletions were up 36%. Our whiskey portfolio grew 6% for the quarter and was up 9% on a year to date basis. Our alcohol-free margarita mixed depletions were up 67% for the quarter, but we're down 9% year to date. The year to date decline was significantly mitigated in the third quarter as we began to regain momentum from our decision in 2020 to focus on allocating our production resources to delivering our most profitable premium products. The quarter experienced shipment contraction of 19% versus the third quarter of 2020. This was driven by supply chain and distribution constraints, which have limited our capacity to produce and transport our products has been -- as has been the case with much of the spirits industry. On a year-to-date basis, volume increased 1% over 2020 resulting in 6% net sales growth for the region. This demonstrates the impact of focusing on our premium brands, as well as the impact of a price increase that was taken earlier this year on most of our tequila portfolio. As you've likely heard from many companies, global supply chains are stressed, leading to shortages of some of the raw materials used to package our products, particularly glass. There have also been shipping the due to labor shortages and common freight carrier constraints. These limitations have affected our third quarter volumes. While our shipment volumes are down for the quarter, our depletion results for the same period indicate that our brand's momentum continues to remain strong despite these product availability issues. We're working to resolve and solve these constraints by ramping up our production and planning capabilities, as well as by working with glass manufacturers to maximize supply. We are also working to optimize our supply by partnering with our distributors and managing inventories to meet the consumer demand for our products as we continue to address the ongoing effects of COVID 19 on our industry. We're a brand building company and we've continued to invest behind our business. We've grown our national and local sponsorships and marketing partnerships, and we've increased our advertising expenditures and we remain committed to making investments that create enduring connections with our consumers. We will continue to monitor and adjust to the ongoing disruptions and changes in consumer behavior as we adapt to this ever changing business environment. I will now turn the call over to Luis Félix to discuss Mexico and America's results.
Luis Félix: Thank you, Mike and good morning, everyone. I'm happy to be here with you all to discuss results for the Mexico and Latin America regions. The continued reopening of channels led to a strong on and off premise sales in Mexico. Sales volume increased 23% overall in Mexico compared to the third quarter of 2020, with that growth spread evenly across almost all brands and categories. Net sales value was up 33% indicating a positive price and product mix. Depletion levels have also improved. Third quarter depletions grew double-digit across the business with tequila being the fastest growing category. These positive results led to market share gains. In the past 12 months, we have increased our company volume market share from 20.3% to 21.1%. For Latin America, results were indicative of a strong and sustained reopening. Volume more than doubled with 209% increase compared to the third quarter of 2020. Net sales value was up 180%. This group was driven by part of an easy comparable base versus 2020, given that we had practically no shipments in 12 countries last year in this quarter. We experienced some supply challenge in the regions, specifically with glass shortages and we have responded well by prioritizing glass supply for our premium brands. Increased inflation for material cost has also been a challenge in the quarter. In response to this, we raised prices across our portfolio earlier this month. We're looking towards the end of the year and feel confident about both regions sustained recovery. We will continue managing supply chain and inflationary issues to be to the best of our ability. And now I will turn the call over to Gordon Dron, Managing Director for EMEA and APAC regions.
Gordon Dron: Thank you very much Luis Félix and good afternoon from Europe. As the vaccination rollout programs continue to advance and lockdown measures ease, the EMEA and APAC regions had another strong quarter delivering high double-digit growth in both volume and net sales. This was led by tequila portfolio, which benefited from the on trade reopening along with restocking across Europe, and also a strong recovery of our own portfolio. The higher vaccination rates in AMEA as opposed to APAC has started to be reflected through an in-market performance this quarter. In EMEA, most markets have continued a steady opening of all on trade channels. In early October, Spain was one of the last countries to open nightclubs, further strengthening the on-premise consumption for the region. The depletions for the tequila brands have been at record levels for every month of the third quarter when compared to both 2020 and 2019. There have been three factors which have been driving this; first, the on trade restocking has continued. Second, the demand surge created by our new off premise distribution and lastly, increased consumer demand as consumers have headed back to bars and restaurants. The whiskey market, which in ENEA is predominantly off-road driven declined slightly in the past quarter. However, by contrast our performance across our Irish whiskey portfolio has remained positive, delivering single digit volume growth driven by the success of our focus on high value malts. All of this has resulted in exceptionally strong third quarter performance for the EMEA region with volumes up 31% on last year and 35% when compared to 2019, value performed even stronger in local currency terms compared to both 2020 and 2019. Year to date performance in EMEA reflects the robust recovery through this year with value growth of mid 30% versus last year and 2019. Regarding the Asia Pacific region, the narrative around the pandemic recovery is quite different. Coming into the third quarter, no market has more than 30% of its population fully vaccinated with the exception of China. This has resulted in continued lockdowns or significant restrictions in the on trade materially impacting the tequila business in particular. As indicated at the end of the last quarter, we corrected shipments to the third party markets in the third quarter. Nonetheless, we were able to deliver volume growth of mid 30% compared to 2020 and slightly lower versus 2019 across the whole region, which includes the in-market companies of China and Australia. Across the Asia Pacific region, despite the ongoing COVID restrictions we faced over the whole year, we were able to post strong year to date growth, both in terms of volumes, which up by high double-digits versus 2020 and 2019 and value growth, which surpassed volume growth in both years in local currency terms. As we enter the year end, we are starting to see some easing of restrictions in the on-trade markets in these countries like Japan and Australia, which are reopening. Similar to the trend scene in Europe, we're expecting stronger demand as consumers return to the on trade. As restrictions continue to ease our situation improves and we're confident about the outcome of the full year. I'll now hand you over to Fernando to talk you through our financial results at a consolidated level.
Fernando Suárez: Thank you and good morning, everyone. Let me walk you through our third order financial results. During the third quarter, the company reported a 7.9% decrease in consolidated net sales to MXN9.5 billion. The decrease versus 2020 was mainly due to industry-wide supply chain constraints, year on year FX headwinds, as well as the top comp against last year, and was more in line with the still robust growth we were seeing in 2019. Gross profit during the third quarter decreased 11.8% compared to the same period in 2020 to MXN5.0 billion and a gross margin decrease of 240 basis points versus the third quarter of 2020. This gross margin decrease was primarily driven by the appreciation of the Mexican Peso against the US dollar, coupled with an impact from unfavorable region mix and despite a stable pricing environment. AMP expenses, as a percentage of net sales increased to 19.7% from 14.7% in the third quarter of 2021. This was mainly due to the reactivation and pacing of AMP investment opportunities across both our regions and our brands, increasing spend back to normalized levels in key categories and markets. Distribution expenses increased 41.1% to MXN534 million, mainly driven by increased freight, warehousing and logistics costs arising from the supply chain constraint previously mentioned. As a percentage of net sales, distribution expenses increased to 5.6% from 3.6% in 2020. SG&A expenses decreased 2.1% year-on-year during the third quarter, representing 8.3% of net sales compared to 7.8% in the third quarter of 2020. This SG&A expense decrease was primarily driven by firm cost control management. Operating income decreased 37.6% and the operating margin decreased to 19.9% compared to 29.4% in the same prior year period. EBITDA for the third quarter decreased 35% to MXN2.1 billion with the EBITDA margin at 22.0%. Net financial results for the quarter were a loss of MXN112 million, mainly derived from the appreciation of the Mexican Peso against the US dollar when compared to the third quarter of 2020. Consolidated net income decreased 36.4% to MXN1.3 billion and the net margin was 13.8% compared to 20% in the third quarter of 2020. Earnings per share were MXN0.37 for the quarter. As of September 30, 2021, cash and cash equivalent were MXN6.9 billion and total debt was MXN13.2 billion. We continue to maintain a strong balance sheet with conservative financial leverage and ample liquidity to execute our long term growth strategy. In terms of capital expenditures for the full 2021 calendar year, we expect to be in the range of $130 million to $250 million CapEx. Regarding capital structure and financing, as stated in our earnings release, we recently concluded the successful liability management exercise in which we tendered for our senior notes due 2025 and issued a new MXN800 million 10-year bond. Tender results were spot on, on company's targets at 69.3% participation and the new issued price was 50 basis points inside the Mexican sovereign and the second lowest coupon from a Mexican issuer in equivalent term. With these combined transactions, the company recognized its short term bad debt secured, long term fixed rate funding at attractive rates, extended the maturity of its financial debt and ultimately reducing the company's weighted average cost of capital. I will now turn the call back to the operator for questions and answers.
Operator: [Operator instructions] Our first question comes to line of Andrea Teixeira with JPMorgan. You may proceed with your question.
Drew Levine: Hey, good morning, everyone. This is Drew Levine on for Andrea this morning. Thanks for taking the questions. Just wanted to get a sense for the volume expectations for the fourth quarter. If you could provide some color, the third quarter came in better than we expected. Mexico and rest the world while above 2019 levels and you have some easy comparisons next quarter, but on the other hand, you have the supply chain challenges. So if you could just comment maybe on how you see the dynamic playing out in the fourth quarter and ultimately if you see the supply chain dynamics in improving through the rest of the year
Mike Keyes: Drew, this is Mike, speaking on just of the US and Canada. I don't know that I can give you any guidance on the fourth quarter, just due to the supply chain issue. Our demand is fine but, every time there's a light at the end of the tunnel with regard to supply, issues arise. And so we're very proud of our performance. We're proud that our brands are desired. We're doing, well obviously against the industry on our pre-COVID baselines, but I don't know that we can provide any kind of guidance for the fourth quarter. We're just going to have to see and monitor the supply chain situation.
Drew Levine: Okay. And then secondly, on pricing and promotional environment, just given the strong demand that you're seeing and the tight supply, you took pricing in the US in May I think, and in Mexico, I believe in October. So just any read on elasticity is relative to historical levels. Maybe if these dynamics continue, if there's opportunity for more incremental pricing in either region. And then just secondly in Mexico, just given the price increase, if there was any sort of pull forward in volumes this quarter, thank you.
Mike Keyes: This is Mike again, I'll start, we did take price this year across certainly a lot of brands, but mainly across our tequila portfolio with the situation just with increased costs, inflation and supply chain issues. But also just because we think the market is right for it. We plan on taking price again this year 2022, not the remainder of 2.21.
Luis Félix: Okay. This is Luis Félix, in the case of Mexico, we did take a price increase early in the year, and we just announced and implemented a new price increase for October. So we believe that it was well received. It was executed right. So we haven't seen any reaction from a consumer's time point so far, but we believe we were confident that we can hold volumes on with the pricing, with the new pricing that we have.
Gordon Dron: This is Gordon Dron from EMEA and APAC. Yeah, we took pricing across the board earlier on this year, generally at the end of the first quarter and we would anticipate doing something similar next year.
Operator: Our next question comes from the line of Ricardo Alves with Morgan Stanley. You may proceed with your question.
Ricardo Alves: Good morning, everyone. Thanks for the call. A couple of questions. Still on volumes in the US the contraction in the US appreciate the issues on the shortage of glass bottles and supply chain. Is it possible to quantify what the performance would have been, had you not been, affected, had your orders not been effect by those issues, or at least some qualitative comments around that, basically trying to get around the underlying demand that you saw in the third quarter given that takeaways were just very strong. So trying to look beyond this supply chain issue in the quarter.
Mike Keyes: Address that on a global level versus the US level.
Fernando Suárez: Let me try to answer that on a consolidated basis Ricardo. In terms of the first nine months of the year, we estimate that the supply chain issues had an impact of roughly up to 800,000 cases across all regions, obviously the US region affected the most
Ricardo Alves: 800,000 cases nine months.
Fernando Suárez: Correct.
Ricardo Alves: Perfect. That's helpful. Thanks Fernando. Second question on the cost side, we noticed the sharp increase on the short term biological assets line over the past few quarters and noticed in the third quarter that you've consumed some of that. Given the delay of that flowing on the P&L, do you think that in the coming quarters, I don't know, perhaps in 2022, not sure exactly how that flows through, but should that translate into lower COGS going forward? Thanks for the questions. Thanks for the time.
Fernando Suárez: Ricardo as you were pointing out, we do have the increase in biological assets short term, which reflects our working capital cycle of the plantation and in terms of trying to see any further savings going forward based on pricing what we can comment at this stage is that we continue to see pricing flat or flattish, although with some upward spikes in the last couple of months. So we're not in a position to be able to manifest that we can expect savings on costs derived from agave in the very near short term.
Ricardo Alves: Thanks for that Fernando. I was more interested also on the internal sourcing of agave on your -- as you go through your own sourcing of the plant. So just trying to see if maybe the vertical integration could increase but that's helpful.
Fernando Suárez: Again on internal sourcing that's an information that we restrict or we reserve for competitive reason. So, sorry, we cannot comment on that specifically.
Ricardo Alves: Fair enough. Thanks Fernando.
Operator: [Operator instructions] Our next question comes from the line of Fernando Olvera with Bank of America. You may proceed with your question.
Fernando Olvera: Hi, good morning and thanks for taking my request. I have two. The first one given that you stake will take a relatively to comparison in Q4, but continuing the supply chain constraints, how are you thinking about margin performance going forward and also what impact do you expect and regarding advertises Fernando as you mentioned that they have increased recently. Is this something to worry about in the short term or going forward? Thank you.
Fernando Suárez: Can, can you speak up Fernando we're having a very hard time with your line understanding the question. Can you try again please?
Fernando Olvera: Sure. Can you hear me better?
Fernando Suárez: Yes. Thank you.
Fernando Olvera: Yes. Great. Well given that you are facing a relatively comparison Q4 and considering supply chain constraints, how are you thinking about margin performance going forward? And why don’t you comment about the debit prices that they cut recently, is that's something that we have to worry about also going forward? Thank you.
Fernando Suárez: Fernando, we had a tough time trying to understand, but we interpret that you asked about margin performance and agave prices. Is that correct?
Fernando Olvera: And also about the supply chain constraint, how can this affect your margin performance going forward,
Fernando Suárez: The impact regarding supply chain constraints on margins? Is that correct?
Fernando Olvera: Yes. Yes, exactly.
Fernando Suárez: Okay. well, as we stated in our scripted remarks, we are trying to manage the supply chain challenge as best as we can. Any inflationary pressures that we see across the P&L we're trying to control for that. And as stated also by my colleagues, we are considering taking price next year to try to offset and pass on those potential inflationary pressures across the P&L by way of price.
Fernando Olvera: Great. And just about agave, do you think there is an increase in practices temporary or it's something that we should worry about?
Fernando Suárez: Well, again the agave pricing environment we have seen flattish basically year to date, although with some upward spike in the recent couple of months. We understand plantation has continued to step up. We have stepped up our plantations double digit in the recent years, but it's too early to tell what's the short term effect on agave pricing. We simply don't have that level of visibility.
Fernando Olvera: Great. Thank you.
Operator: Ladies and gentlemen, we have reached the end today's question-and-answer session. I would like to turn this call back over to Mr. Juan Domingo for closing remarks. End of Q&A
Juan Domingo Beckmann: I would like to thank you again for con your continued interest in Becle. We remain extremely confident in our family of brands and our prospects for long-term growth. Please don't hesitate to reach to our IR team if you have any additional questions. Have a great day.
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time.